Operator: Good day, ladies and gentlemen, and welcome to the Quarter Two 2015 Stratasys Earnings Conference Call. My name is Cathy, and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Shane Glenn, Vice President of Investor Relations. Please proceed, sir.
Shane Glenn - Vice President-Investor Relations: Thanks, Cathy. Good morning, everyone. Thank you for joining us to discuss our second quarter 2015 financial results. On the call with us today are David Reis, CEO; and Erez Simha, CFO and COO of Stratasys. I remind you that access to today's call, including the prepared slide presentation is available online at the web address provided in our press release. In addition, a replay of today's call including access to the slide presentation will also be available and could be accessed through the Investors section of our website later today. We will begin by reminding everyone that certain statements in this press release are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1933, and Section 21E of the Securities Exchange Act of 1934. Forward-looking statements are characterized by the use of forward-looking terminology such as will, expects, anticipates, continues, believes, should, intended, projected, guidance, preliminary, future, planned, committed, and other similar words. These forward-looking statements include, but are not limited to, statements relating to the company's objectives, plans and strategies, statements of preliminary or projected results of operations or a financial condition in all statements that address activities, events or developments that the company intends, expects, projects, believes or anticipates will or may occur in the future. Forward-looking statements are not guarantees of future performance and are subject to risks and uncertainties. The company has based these forward-looking statements on assumptions and assessments made by its management in light of their experience and their perception of historical trends, current conditions, expected future developments and other factors they believe to be appropriate. Important factors that could cause actual results, developments and business decisions to differ materially from those anticipated in these forward-looking statements include, among other things, the company's ability to efficiently and successfully integrate the operations of Stratasys, Inc. and Objet Ltd. after their merger as well as MakerBot, Solid Concepts, and Harvest Technologies after their acquisitions and to successfully put in place and execute an effective post-merger integration plan; the overall global economic environment; the impact of competition and new technologies; general market, political and economic conditions in the countries in which the company operates; projected capital expenditures and liquidity; changes in the company's strategy; government regulations and approvals; changes in customers' budgeting priorities; litigation and regulatory proceedings; company's ability to satisfy the financial covenants under its revolving credit facility; and those factors referred to under Risk Factors, Information on the Company, Operating and Financial Review and Prospects, and generally in the company's Annual Report on Form 20-F for the year ended December 31, 2014 filed with the U.S. Securities and Exchange Commission or the SEC, and in other reports that the company has filed with or furnished to the SEC on the date hereof. Readers are urged to carefully review and consider the various disclosures made in the company's SEC reports, which are designed to advise interested parties of the risks and factors that may affect its business, financial condition, results of operations and prospects. Any guidance and other forward-looking statements in this press release are made as of the date hereof, and the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. As in previous quarters, our focus on today's call will be on non-GAAP financial results. These non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. We also note that we are not providing any pro forma financial results for acquisitions. Certain non-GAAP to GAAP reconciliations are provided in the table contained in the slide presentation and our press release. Now, I'd like to turn the call over to our CEO, David Reis. David?
David Reis - Chief Executive Officer: Thank you, Shane, and good morning, everyone. Thank you for joining today's call to discuss our second quarter results. The second quarter represented continuation of challenging market environment we began to observe in the first quarter. We believe that during 2013 and 2014 our company and the industry experienced an extraordinary period of growth driven by the positive synergies as a result of the merger between Stratasys and Objet in 2012 as well as by heightened level of mainstream media attention that the industry enjoyed during that period. We believe that our industry is now transforming through a period of slower growth as user digest the recent investment in 3D printing and expand capacity utilization. Despite these headwinds we are encouraged by areas of sequential improvement in our business and remain confident – sorry, remain convinced of our long-term potential over our industry. Supporting our view, we recently completed two events, including one with our channel partners in Europe and one with our Stratasys Direct Manufacturing customers in North America, where excitement around the industry future and the potential of our revolutionary products remain high. Additionally, sales leads within the channel remain strong, and sale of our high-end production system have shown signs of improvement after a slow first quarter. We are beginning to see tangible results that reaffirm our strategy of developing target solutions within key market verticals; and recently announced a major collaboration for our Solidscape product line in China, which presents significant potential for our future expansion. Short-term, we will continue to make adjustments to align expenses with current market conditions. However, we remain committed to our long-term growth initiative that include enhancing vertical solution capabilities; expanding customer support services; accelerating product development and enhancing our sales and marketing infrastructure. Later in the call, I will return to provide more details of these developments and our strategy moving forward, but first, I would like to turn the call over to our CFO and COO, Erez Simha, who will review the detail of our financial result. Erez?
Erez Simha - Chief Operating & Financial Officer: Thank you, David, and good morning, everyone. The growth experienced during the second quarter, compared to Stratasys' historical growth rates, is a reflection of the overall market weakness and a slowdown in sales across most regions and business units when compared to last year. After analyzing the results from the first half of this year, we believe we are moving through a period of market stabilization that is marked by slower growth as user expands capacity and utilization. Total revenue in the second quarter increased by 2% to $182.3 million when compared to $178.5 million for the same period last year, and was up approximately 6% sequentially. On an organic basis, which excludes the impact of acquisitions, revenue growth was down 10% when compared to the same period last year, or down approximately 5% on a constant currency basis. Our core business, excluding MakerBot and Stratasys Direct Manufacturing, was up 1.3% in the second quarter over the last year and up approximately 8% when compared to the first quarter of this year, as we have begun to observe some recovery in our high-end production systems sales. The lower growth experience in the second quarter was primarily due to the slowdown in hardware sales, as well as negative growth in Asia Pacific region and for MakerBot. MakerBot product and service revenue declined by 57% in the second quarter over the last year, driven by the overall market weakness, as well as by ongoing challenges associated with the restructuring of this business. Non-GAAP net income for the second quarter was $8 million or $0.15 per diluted share compared to non-GAAP net income of $28 million or $0.55 per diluted share reported for the same period last year. Product revenue in the second quarter decreased by 13% to $134.5 million, as compared to the same period last year. Within product revenue, system revenue decreased by 21% in the second quarter over the same period last year, with the decline driven primarily by weaker MakerBot system sales, as well as overall market weakness as discussed previously. Consumables revenue grew by 6% over the same period last year, or 13% on a constant currency basis, in line with our revised expectation for the year. Services revenue in the second quarter increased by 96% or $47.8 million as compared to the same period last year. The increase in services revenue was driven primarily by the revenue contribution of Solid Concepts and Harvest Technologies, which were acquired during the third quarter of 2014 and not included in the previous year's results. Within service revenue, customer support revenue, which includes the revenue generated mainly by maintenance contracts on our systems, increased by 17% compared to the same period last year. The company sold 6,731 3D printing and additive manufacturing systems during the second quarter, and on a pro forma combined basis, has sold a total of approximately 136,000 systems worldwide as of June 30, 2015. Unit sales in the second quarter, relative to prior periods, were impacted by lower MakerBot unit sales, as well as the overall impact of the market factors we have outlined previously. We are observing signs of recovery in our high-end production systems, led by a sequential sales improvement in our Fortus line. This includes positive market reception for the new Fortus 450mc, which performed ahead of plan in the second quarter. Additionally, we have seen sequential improvement for our recently introduced Connex line of color multi-material 3D printers. Most notably, sales of our Solidscape line of 3D printers grew significantly during the quarter, driven by the initial orders of our recently announced collaboration in China, which David will discuss in more detail later in the call. Non-GAAP gross margins declined to 54.7% for the second quarter, compared to 59.8% in the same period last year. Non-GAAP gross margins expanded sequentially, when compared to the first quarter gross margin of 54.1%. The decrease in gross margin over the last year resulted primarily from the impact of inclusion of Solid Concepts and Harvest Technologies. Gross margins for product revenue was flat in the second quarter compared to last year, and improved sequentially over the first quarter of this year driven by a sales mix that favors our high-end systems. Operating expenses increased by 23% to $96.1 million, as compared to the same period last year. Net R&D expenses increased by 28% to $22.5 million in the second quarter over the last year, driven by the inclusion of GAAP-cut (11:44) expenses, increased head count, and an overall acceleration in system and material project development. Compared to the first quarter of 2015, net R&D expenses declined 8%. SG&A expenses increased by 22% to $73.6 million in the second quarter over the last year, primarily due to the inclusion of Solid Concepts and Harvest Technologies operating expenses; sequentially SG&A expenses increased 5% compared to the first quarter of 2015. We received a tax benefit of $4.8 million in the second quarter compared to effective tax rate of 3.8% for the same period last year. Our tax expenses were impacted by losses incurred in high tax jurisdictions that were offset by taxable income in low tax jurisdictions. The following slides provide you a breakdown of our geographical sales for the quarter, which reflects an emerging recovery trend in North America. The outlook for the remainder of the third quarter of 2015 is for continued improvement in North America and Europe with an expectation of continued market headwinds in Asia Pacific, Japan region driven by tough macroeconomic conditions. Non-GAAP EBITDA for the second quarter amounted for $12.1 million. Company used $15.6 million in cash from operations during the second quarter, and currently holds approximately $502.6 million in cash, cash equivalents, and short-term bank deposits. Our cash balance includes cash from a $175 million drawdown on the company's revolving credit facility. We incurred significant one-time cash and non-cash charges during the second quarter related to post-merger integration activities and company reorganizations. Capital expenditures amounted to approximately $30.4 million in facility and equipment investment, primarily driven by new office facilities in Israel. Inventory increased to $137.4 million as compared to $131 million at the end of the first quarter of 2015, representing a 5% increase over the first quarter. Accounts receivable decreased to $137 million, representing a 4% decrease as compared to $142.4 million at the end of the first quarter while DSO on 12-months trailing revenue was 65 days compared to 67 days at the end of the first quarter. In summary, we observed some sign of sequential improvement versus the first quarter of 2015, although our second quarter results were lower than expected across most geographies and the industries compared to growth level experienced historically. We are observing signs of recovery in certain regions, and are cautiously optimistic about sustained improvement in North America and Europe. However, we expect the Asia Pacific region as well as sales at MakerBot to remain a headwind for the duration of the third quarter. We will continue to make adjustments to our operating expenses and to align with changes in current market environment, longer-term, however, we remain committed to our growth initiatives and investment plan. We remain well-positioned to respond to an acceleration in demand, or improvements in overall market conditions. We believe that we have a strong balance sheet and are making the appropriate investments in strategic initiatives and building infrastructure to help accelerate our growth moving forward and that we are on the leading edge of our exciting industry. I would now like to turn the call over to our VP of Investor Relations, Shane Glenn, who will provide you greater details on our updated 2015 financial guidance. Shane?
Shane Glenn - Vice President-Investor Relations: Thank you, Erez. Due to the company's limited visibility regarding the timing of improvements in growth, the company has withdrawn its previously delivered financial guidance and instead has provided financial guidance for the third quarter of 2015 as follows; total revenue in the range of $175 million to $190 million with non-GAAP net income in the range of $1.5 million to $7 million, or $0.03 per diluted share to $0.13 per diluted share; GAAP net loss of $27 million to $22.5 million, or $0.52 per share to $0.43 per share. Non-GAAP earnings guidance excludes $18 million of projected amortization of intangible assets; $9.5 million to $10 million of share based compensation expense, $7 million to $8 million in non-recurring expenses related to acquisitions and includes $6 million to $6.5 million in tax expenses related to non-GAAP adjustments. Finally, at this time, we are not modifying the following long-term goals for the company's operating model which include, annual organic revenue growth of at least 25%, non-GAAP operating income as a percentage of sales of 18% to 23%, non-GAAP effective tax rate of 10% to 15%, non-GAAP net income as a percentage of sales of 16% to 21%. Appropriate reconciliations between GAAP and non-GAAP financial measures are provided in the table at the end of our press release, providing an itemized detail of the non-GAAP financial measures. Now, I would like to turn the call back over to David Reis. David?
David Reis - Chief Executive Officer: Thank you, Shane. As I mentioned in my opening remarks, we believe that the extraordinary growth that Stratasys and our industry enjoyed during 2013 and 2014 was driven in part by the synergies that resulted from the Stratasys and Objet merger in 2012, as well as from heightened level of media attention observed during that period. During this period, our customers' capacity went through a dramatic expansion. Now, the industry near-term growth is likely being impacted as end markets digest capacity and increase their utilization. Despite these near-term challenges, we see no indication of fundamental change in the attractive market opportunity within our industry, and we are encouraged by the sequential improvements we are observing in areas of our business. We continue to believe that our industry is poised to transform manufacturing, engineering and design processes across a wide range of sectors, and will be driven by vertical solution development and further penetration into advanced manufacturing applications. With our strong pipeline of potential future opportunities, and our position of leadership within the industry, we believe we are well-positioned to capitalize on these opportunities as they will develop. As mentioned earlier, we are committed to a strategic investment plan that we unveiled early this year, which is designed to support the future growth of our business and sustain our leadership position. The multi-year investment plan focus on enhancing vertical industry solutions, expanding customer support services, building an enhanced sales and marketing infrastructure, and accelerating product development, all designed to support potential annual revenue of $3 billion in 2020. To reiterate, we see no change in the long-term opportunity for our industry, and are observing enthusiasm and interest from both our channel partners and customers. We recently host 239 of our Stratasys Direct Manufacturing customers in Nashville, Tennessee at the 1st SDM Summit to introduce the combined SDM urbanization, the total solution provider that focuses on applications from prototyping to production. At the event, the additive manufacturing experts from our SDM group conducted seminars, workshops and one-on-one meetings with key accounts. Additionally, our recent EMEA channel partner event was attended by CEOs and sales executives from 41 Stratasys European resellers. The event was the first channel partner meeting at our new Stratasys EMEA headquarters in Germany that features workshops sharing best practice for vertical markets, marketing, and growing the materials and service business. Both of those events were well attended and the feedback from customers and channel partners was positive, reinforcing our optimistic long-term outlook. We made multiple enhancements to our overall channel and go-to-market strategy during the quarter; strengthening our presence in Germany, Switzerland and Austria through the acquisition of the key German channel partner, RTC Rapid Technologies, making enhancements to our North America channel for Stratasys product lines with addition of W.D. Distributing and WYNIT. For MakerBot, we announced the expansion of Sam's Club retail presence to over 600 stores, following the successful pilot program; reorganized the MakerBot channel in Europe and Asia to better leverage the existing Stratasys go-to-market infrastructure within those regions. And finally, recently FISHER/UNITECH, a top Stratasys reseller, announced it is now carrying our MakerBot brand of products. In addition to those go-to-market developments, we are beginning to see tangible results with new customers and applications. The Chinese government has a multi-decade plan for growing and employing highly skilled workforce, and has committed publicly to promoting 3D printing as a driving force in China future manufacturing development. This initiative represents a significant opportunity for Stratasys, and we are pleased to have recently announced the collaboration for our Solidscape product line with the KANGSHUO Group in China to provide Solidscape 3D printers for applications relating primarily to custom jewelry manufacturing. This agreement provides Stratasys with opportunity to play a major role in creating the largest network of service bureaus and innovative center in China that will target applications from custom jewelry manufacturing using our Solidscape line of products. Our Solidscape line of high-precision 3D printers product produce wax patterns that are ideal for lost wax investment casting and mold making applications. These patterns meet high standards in surface finish, accuracy and material castability, while eliminating the need for significant post-processing. The multi-year collaboration includes providing up to 1,000 Solidscape high-precision 3D printers to equip multiple new service bureaus and innovative centers within China, as well as opening of manufacturing facility, by KANGSHUO, for the assembly of Solidscape 3D printers for the domestic Chinese market. Also included in the agreement is a plan to supply China 3D printing education initiative with significant quantities of Solidscape 3D printers. We believe this marks the most comprehensive 3D printing collaboration to date in China and will help drive significant growth for manufacturing applications utilizing our Solidscape product line. Another area of recent success is within the dental market, where we are observing growing adoption that we believe validates our strategy to focus on this exciting vertical. Our customer, a leading manufacturer of clear orthodontic aligners, recently announced a 30% expansion of its fleet of Objet Eden500V 3D printers and now prints 100% of its custom-made orthodontic aligners utilizing Stratasys PolyJet 3D printers and VeroDent material. Our PolyJet technology provides our customers with the ability to efficiently manufacture custom aligners on a mass scale with optimized workflow, faster production and shortened lead times. We believe that our customer adoption of 3D printing technology is indicative of potential significant expansion within dental vertical including the further adoption of our Stratasys PolyJet based solution for the production of custom-made orthodontic products. Our Vertical Business Unit strategy is designed to capture these opportunities and we made significant operational enhancements including key personnel additions during the second quarter that we believe will further enhance our ability to address dental application and provide solutions to this vertical moving forward. In summary, while we are disappointed with our second quarter results, this time we see no indication of a change in the fundamental growth drivers for additive manufacturing. We believe the long-term opportunities remain very promising. We are encouraged by areas of sequential improvement in our business and remain optimistic about our long-term growth prospects. We believe our industry is transitioning through a period of slower growth as user digest the investments in 3D printers and expand the utilization of recently acquired capacity. While we remain confident in our long-term market prospects, in light of the current growth environment we are making adjustments to better align expenses with current market conditions. Finally, we are confident that our investment plan and our growth strategy will enable us to put greater focus on long-term vertical and manufacturing-related applications, such as dental and the recently announced Solidscape collaboration, which further position the company to capitalize on future growth opportunities, and help solidify our leading position in additive manufacturing and 3D printing. Operator, please open the call for questions.
Operator: Please standby for your first question. It comes from the line of Sherri Scribner of Deutsche Bank.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: If you could talk about the guidance for the third quarter, it looks like revenue guidance is flat sequentially but EPS comes down a bit. Are you expecting OpEx to be higher? How should we think about that given the weak demand environment? And also, can you give us a little more detail on what's going on with MakerBot? Thanks.
Erez Simha - Chief Operating & Financial Officer: Hi, Sherri. Good morning. It's Erez. We do not expect a significant increase in operating expenses in Q3, although the lower EPS is due to some one-time benefit that we recorded in Q2 around taxes; that will not happen again in Q3. And as of MakerBot, I think that also in Q3 we do not expect our MakerBot to perform differently than Q2. The company is going through a reorganization, aligning the go-to-market within Stratasys and (26:45) and I think the performance of – the expectation for the performance of MakerBot in Q3 combine into our guidance for Q3.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Is there any visibility on when MakerBot will be a benefit?
Erez Simha - Chief Operating & Financial Officer: We expect a tough 2015 for MakerBot, meaning we do not expect MakerBot to contribute – to gain benefit in 2015. And again, the plan is that as of 2016 MakerBot will come back to a higher growth than we saw in 2015 and will contribute to the bottom line of the company.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Thank you.
Operator: Thanks for your question. The next question comes from Bobby Burleson of Canaccord.
Robert Burleson - Canaccord Genuity, Inc.: Hi, thanks for taking my question. Just curious about the SDM business; what type of competition are you seeing out there in North America and Europe as other guys build out capacity and how meaningfully have you guys invested in metal capacity at this point? Thanks.
David Reis - Chief Executive Officer: Hi, good morning. This is David. We, I think, concluded – or we are at the final stages of concluding the integration between RedEye, Solid Concepts and Harvest. I think the event that took place two weeks kind of was an effort to mark this, the conclusion of this I think very intense PMI effort and I think we are now well-positioned to put all our attention in going to market. Specific to your question, we don't feel an increased competition compared to let's say what we saw, or the company saw a year ago and two years ago.
Robert Burleson - Canaccord Genuity, Inc.: And you are making investments in metal capacity. Have those been substantial?
David Reis - Chief Executive Officer: Yes, we've made investment in increased capacity in the past, I think it was about two quarters, three quarters and I think to date we have one of the kind of larger I think infrastructure to support the metal application as a service provider.
Robert Burleson - Canaccord Genuity, Inc.: Thank you.
Operator: The next question comes from Troy Jensen of Piper.
Troy D. Jensen - Piper Jaffray & Co (Broker): Thanks for taking my question, gentlemen. Another one for David here; I was hoping you could touch on the RTC acquisition – curious to know if the intention here is to go more direct in Europe. I know you've done similar deals in Asia, or are you just really acquiring local talent to beef up system integrators and channel managers and stuff like that?
David Reis - Chief Executive Officer: No, our basic channel is to – our basic strategy is a channel strategy and this is not changing. The acquisition of RTC was intended to create a stronger base in Germany while operating with our many channel partners in Germany in coordination, in the same way we did it in Japan successfully in Korea and in other places. So it's not in any way any intent to replace the channel, it's to create the strong base in Germany and to allow us in the future to experience for example our same activity, our strategic accounts activity and such.
Troy D. Jensen - Piper Jaffray & Co (Broker): All right, perfect. Maybe just a follow-up for Erez. I know you've (30:32) the full year guidance, but traditionally Q4 is a very seasonally strong quarter. I think historically it's gone up 10%-plus on a sequential basis; any reason to believe that we would see the same type of strength this year?
Erez Simha - Chief Operating & Financial Officer: Troy, we are providing guidance for Q3 and we do not provide guidance for H2; the visibility into H2 growth has not improved. The potential added variability in our performance for the remainder of the year makes giving full year guidance very difficult.
Troy D. Jensen - Piper Jaffray & Co (Broker): All right.
Erez Simha - Chief Operating & Financial Officer: I don't know exactly how long the weakness will persist? We are doing what we can do to improve performance including managing cost structure and continuing to invest in growth opportunities, however we remain focused on our current strategy to drive sales growth in adoption are committed to (31:31) investment plan.
Troy D. Jensen - Piper Jaffray & Co (Broker): All right. Understood, guys. Good luck in the second half.
Operator: Thank you. The next question comes from Wamsi Mohan of Bank of America.
Wamsi Mohan - Bank of America Merrill Lynch: Yes, thank you. Good morning. So, David, your long-term growth objective still remains at 25% for organic growth but if we just step back and look at how that had played out; in 2014 you increased that target to 25% from 20% when you saw the growth each quarter in 2014 between 31% to 36%. But your comments today around capacity digestion would imply that that 30% growth was temporary, so why should we not think that the long-term growth profile is lower than – definitely lower than 25% but might be even quite a bit lower than that.
David Reis - Chief Executive Officer: I'll tell you in my perspective that we said both in the PR and on the call that we did experience I think extraordinary growth rate during 2013 and 2014 and we gave the reasons. It had a lot to do with the merger, I think, and obviously start to see a lot of interest that was created by the media which push the growth rate to a higher level than the historical ones. If you go backwards to 2010, 2011 and 2012, part of the merger and I do appreciate the fact that the industry was substantially smaller, the historical growth rates were not low. I mean in many years this time growth rates in both Stratasys and Objet were over 20% year-over-year. So we are just kind of exiting very accelerated growth period, because when we meet the market and we meet a lot of customers and partners, we do not see, and I don't know how to convey this message, we really don't see any fundamental long-term change in the perspective of the industry relevant of the technology for many applications across many, many industries and we – it's difficult at this point to either change the long-term perspective or refine it. I think we need to wait a little bit more time and look even backwards for the years before 2013 and 2014 to get the right perspective. I think that within relatively short period of time, a few quarters we will get a better understanding whether those numbers are really in line with the long-term perspective. But there is no indication today which is saying that long-term the numbers are going to be different. And, again, when you go back to 2010, 2011 and 2012, this is our view at this point of time.
Wamsi Mohan - Bank of America Merrill Lynch: Okay. Thanks, David. And if I could just follow up; I mean, consumables revenue growth sharply decelerated; last quarter, that was still quite strong even though you saw strong unit deceleration last quarter or so, can you help put that in little bit of perspective where did you see that deceleration play out? I mean was it very specific to a few verticals, was it very broad-based? Any particular geographies that drove that consumables growth rate so much lower sequentially? Thanks.
Erez Simha - Chief Operating & Financial Officer: Wamsi, it's Erez; I'll take the first part, David will continue. But the growth in consumables is composed of many parameters. If you take out what happened in MakerBot and you look only on the core business, the growth in consumables was close to 20%...
David Reis - Chief Executive Officer: Fix counted.
Erez Simha - Chief Operating & Financial Officer: ...and fix counted. And I think that slower growth for all the time will generate slow growth in hardware, will generate slow growth in consumables. Consumable will not continue to grow forever in effect that they grew without hardware growth but still consumables performed I think in line without expectation this quarter.
David Reis - Chief Executive Officer: I would like to add to it that when – again just to repeat that if you take the consumable part of MakerBot, the growth year-over-year in constant currency was 19%, which I think is impressive and if you dive in and you look internally on the consumption per machine which is a very difficult analysis that we're trying to do, because some of our sales of consumables are not done directly by us. In general, the overall feeling is that consumption per machine did not go down and some areas of the markets were even up. So there is an increased adoption and I think this is by the way very good sign to where the industry is going. It's not a negative sign.
Wamsi Mohan - Bank of America Merrill Lynch: Great. Thank you for that clarification. That's very helpful.
Operator: Thank you for your question. The next question comes from Paul Coster of JPMorgan.
Paul Coster - JPMorgan Securities LLC: Yes, thanks for taking my question. Erez, you acknowledged in prior quarters those are few methods of logical flows in forecasting particularly around some of the issues you've had with some of the MakerBot machines. But when you talk of limited visibility now, I assume it's not to do with method, it's actually the end market, is that correct first of all? And secondly what is that that you look at quantitative measures that you look at to draw that conclusion?
Erez Simha - Chief Operating & Financial Officer: So, yes, so, this is Erez, Paul, this is correct. I mean when we look today and we're talking about – basically we're talking about the end market and the demand that is generated by (37:29) different parameters. The main parameter is the (37:34) we have for legion opportunities and the translation of those legion opportunities into transaction and again the legion opportunities in Stratasys are still in line with what we expect those to be. However, we do see the migration from opportunities to deal and perform a little bit different than it is to be into this quarter. And this translated into relatively longer sales cycle that has impact on our revenue and again in customer behavior that we could not focus today as we used to do in previous quarters.
Paul Coster - JPMorgan Securities LLC: Understood. And sort of re-factor the method that the sales people used in qualifying leads?
Erez Simha - Chief Operating & Financial Officer: No, there's no change in the way with which the leads or generate leads or invest in leads or translate lead into opportunities. However the ratio of the conversion between opportunities into transactions, which reflects on the market behavior is different than what we used to have in the last few years. And by the way we used to have a very accurate forecasting system based on those file of legion opportunity.
Paul Coster - JPMorgan Securities LLC: Okay, good, all right. And my last question is I assume as the volumes decline in MakerBot that the certain fixed cost in that segment that weigh on the segment margins. But could you kind of give us the sense of the degree to which – we're talking about variable cost versus the fixed cost operation there?
Erez Simha - Chief Operating & Financial Officer: Paul, I don't want to get into the details of our fixed versus variable in MakerBot. The company is going through a significant reorganization which includes all part of the company. By the way we touched both variable and fixed long-term operating expenses as much as we can. I think this will have relatively high flexibility to adopt operating expenses to the level of business that we expect. And I think that in 2015 we'll provide MakerBot with the tools to build the infrastructure for ramp-up business in 2016.
Paul Coster - JPMorgan Securities LLC: All right. Thank you.
Operator: Thank you. The next question comes from Ananda Baruah of Brean Capital.
Ananda P. Baruah - Brean Capital LLC: Hi, guys. Thanks, thanks so much for taking the questions. I guess, really what I want to ask was in conversations with your customers, what as the sense that you get that would be the right confluence to dynamic. I'll actually say the appropriate, to really get the sort of kick in the next adoption cycle. How much of it is macro related? Is there a matter of innovation, sort of new applications, price, those come to dynamic, and anything else that they might think? Thanks.
David Reis - Chief Executive Officer: May be I will go back to the statement Erez made earlier or Shane made earlier about the lower visibility that we have today, I mean the behavior pattern of customers today is a combination of a lot of things and it's varying by geography and it's impacted by local and macro events. The general notion is that customers are little bit – are slower compared to previous years in taking the buy decision. As Erez indicated from the number of leads that we see is the level of interest is high and in many places it's growing. The interaction with customers is getting tighter and we have a lot of discussions, there's a lot of companies about how additive manufacturing will become part of this strategic future. So, like I said and we're repeating ourselves, we don't see a decrease in the interest; we don't see decrease in the enquiries, we don't see a change in the way people view additive manufacturing and the way people believe that it is going to become part of the strategy and strategic way of operating in the future. This is not changing. On the specific buy decision, there's slowness which is coming mainly from capacity that was purchased in the last two years and customers have the opportunity to increase the utilization of this capacity before placing more orders. But again, the fundamentals, the interest is there and therefore we are cautiously optimistic, although in the short-term the visibility is low, because the patterns that we were used to in the last five years, seven years and you all are aware of it, was very, very different. So we believe that it's a temporary and the market will come back to some growth patterns. It might be a little bit different from what we were used to but the growth pattern is in the future.
Ananda P. Baruah - Brean Capital LLC: And, Erez, in that context how are you thinking about – regarding your comments on cost structure, where is it that you are actually managing costs away right now and where is that you're still investing for the long-term in that context? Thanks.
Erez Simha - Chief Operating & Financial Officer: So, we didn't change anything in our approach and we continue to invest in long-term initiatives that we believe are crucial for the growth of the company in the future. And it's around R&D project and it's around go-to-market and VBU and Sam's (43:27) and customer interface activity; we did not change anything in this approach. We are scaling down some of the, I would say, revenue related activities as we see that revenue is lower than what we expected and we are scaling down the existing relevant operating expenses to fit into lower level of business in the short-term.
Ananda P. Baruah - Brean Capital LLC: Got it. Thanks a lot, guys.
Operator: Thank you for your question. The next question comes from Steve Milunovich of UBS.
Steven M. Milunovich - UBS Securities LLC: Thank you. A question about your existing and potential new customers; for existing customers what is the satisfaction level? Do you measure that; are they to some degree running into issues in using 3D printing? And then for new customers, I can buy that some of your existing customers may be digesting capacity. But your penetration in the market is miniscule, so there is something wrong with adoption and I would think it's probably around technology. I mean there are distribution issues, but I would think it's things that HP talks about: speed, quality, sufficient variety of materials. Would you agree with that view and when do you kind of see some of those improvements over time intersecting with customer needs such that adoption increases? Are we a year away, are we three years away?
David Reis - Chief Executive Officer: First of all to your first question, I think that the overall – and I'm talking about the cost chart today – the level of satisfaction of customers around the world is good, in many areas it's very good. People – you can see it in the consumable consumption. People are using the machine and producing with the machine. Yes, I do agree with your statement that our penetration in this market is very, very small. I think this is a rapid prototyping market. We are dealing with some issues of capacity. We are dealing with issues of go-to-market and are extending our reach to new customers which did not experience hands-on the technology. On the manufacturing side of it, I think the marketing – and we're doing a huge effort in this direction – is adopting the technology slowly and here technology breakthroughs will accelerate adoption. But it's mainly related to manufacturing; I don't think it's a true statement for rapid prototyping which is basically the core of our business for the last many, many years.
Steven M. Milunovich - UBS Securities LLC: Okay, that does make sense. And can you talk a bit more about the decline in MakerBot sales; I mean they've really fallen off. Is it a problem because of the extruder quality issue or – because it seems like in the press you still read about 3D so there is still for the consumer a little bit of buzz, so I'm just trying to understand why the significant falloff and what you're doing in terms of changing management and so forth?
David Reis - Chief Executive Officer: Like Erez mentioned earlier, we are in the process of reorganizing and restructuring MakerBot. I think that Stratasys and the MakerBot team strongly believe in the future of this market. Nevertheless, we need to get reorganized, we need to adapt the way of our operations with the way the market is developing. And our focus today is mainly on the professional uses and education. And the drop in sales in MakerBot can be partly attributed to any issues we had in the past, and some of which is also – could be attributed to the headwinds we have in the overall market. MakerBot is not separated from Stratasys to this respect. So they see whatever we see and therefore the significant drop in sales compared to last year.
Steven M. Milunovich - UBS Securities LLC: Okay, thank you.
Operator: Thank you for your question. And next question comes from Ken Wong of Citigroup.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Hi, guys. So you guys have talked a bit about realigning costs and then as I look into Q3, it looks like your OpEx will be roughly flat. I guess how should we think about where OpEx goes in the future? And then you guys had talked about 46% to 47% in the past, I assume that that's no longer a good metric to model off of?
Erez Simha - Chief Operating & Financial Officer: Yes, so again we provide guidance only for Q3 and you can assume operating expenses without any significant change in Q3. However, the measurement that we are taking now in aligning the revenue related – our revenue related expenses, I think that we'll have a higher impact in Q4 because of the time it takes us to form and execute here and our flexibility within adopting our cost structure and scanning it down. Again 46%, 47% was correct for the entire year. We do not see today 46%, 47% as a parameter that is stated by us.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Okay, got you.
David Reis - Chief Executive Officer: I want to add an important comment here that and again we don't because we strongly believe that the fundamental of the market are not changing and the future – and the growth in the future will return in some shape or form. In earlier that we cut cost – some of the cost cut is not being to give or select in our profitability because we are going to move this money into long-term investments. So we are not cutting in those areas. I mean some areas we've even increased in adjustments driven by the belief that again fundamentally did not change the market did not change dramatically, demand is there and is going to return. So money is being moved from different OpEx elements into the investment areas that we highlighted both in the presentation and in the PR.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Okay, got you. And then maybe another cost follow-up, what about the CapEx outlook that you guys had in the past, should we hold you guys to that, still? Or is that also an area where you guys are looking to cut back?
Erez Simha - Chief Operating & Financial Officer: The reduced CapEx plan that we announced at the end of last quarter is still in place.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Okay, got you.
Operator: Thank you for your question. The next question comes from Rob Stone of Cowen and Company.
Rob W. Stone - Cowen & Co. LLC: Hey, guys. I had a couple of questions related to gross margins if you can provide a little more color, please. One is on the sequential trend in services growth margin which was down from the level it had been for a few quarters; and then the other is, within products, consumables were up and systems down and yet product margins were flat. So any comment would be helpful? Thanks.
Erez Simha - Chief Operating & Financial Officer: Yes, so, if you compare gross margin this year to previous year, you have to remember that in previous year we did not consolidate SDM into the financial statement. So the current Q3 – Q2 results include solid SDM gross margins and performance which has impact on the overall gross margins of the company. The SDM has a different business model; gross margins compare to the average gross margin of the company and if you look at Q2 compared to Q1 you see a sequential improvement in Q1 that was included, you see sequential improvement in gross margin mainly because of mix that was more weighted to high net product this quarter compared to previous quarter.
Rob W. Stone - Cowen & Co. LLC: Okay. And one follow-up if I may, so working capital actually improved sequentially; so what prompted you to draw on the revolver?
Erez Simha - Chief Operating & Financial Officer: It's mainly short-term needs of financing some CapEx and other activity in Stratasys. The amount that we withdraw will not be at the same level, be at lower level at the end of the year.
Rob W. Stone - Cowen & Co. LLC: Thank you very much.
Operator: Thank you for your question. The next question comes from Patrick Newton of Stifel.
Patrick M. Newton - Stifel, Nicolaus & Co., Inc.: Yes, good morning, David and Erez, thank you for taking my questions. I guess diving into the longer-term targets you reiterate; the long-term growth target of 25% or greater and I think, Erez, in some answers to questions, you talked about aligning cost on a short-term basis, David, you responded that demand will return. Can you help us understand your expectation, realizing you don't have a crystal ball but on this return to growth or return to demand for the industry, is this a couple of quarters, is this measured in years, plural. I mean as you sit here today, when do you think this phase of slow growth will end?
David Reis - Chief Executive Officer: I think the reason that we are saying the visibility is low is because we don't have a clear expect to go out this question. Okay. We do know again, and by talking with customers and talking with channels with the injustice there. We see the use cases, we know the penetration in general in many areas of activity is relatively low but it's impossible for us to indicate the timeframe.
Patrick M. Newton - Stifel, Nicolaus & Co., Inc.: Okay. And I guess just shifting gears to the consumer market, you did talk about the reorganization and you did talk about a focus on professional educational markets. But I guess given MakerBot results and elevated competition of that market and what appears to be somewhat of a race to the bottom there, how core is being in the consumer market to Stratasys and if it is core can you help us understand what the current margin profile is of your consumer business and where do you see progressing long-term post this reorganization?
David Reis - Chief Executive Officer: I'm not sure I'm clear with the question but when we talk about MakerBot and MakerBot target markets to the consumer, the way I think you define it's a small part of our activity. As I said earlier our focus is on the education segment and just the professional market. Of course, there are consumers which are buying those products but it's not a target market at this point of time.
Patrick M. Newton - Stifel, Nicolaus & Co., Inc.: And towards the margin structure, Erez, on that – on the MakerBot side how is that standing today and post the reorg how should it look?
Erez Simha - Chief Operating & Financial Officer: So, the MakerBot margins today are lower than the core average gross margin of the company for many reasons. By the way there was issue of lower sales that has impact on capacity, that has impact on gross margin. We do expect gross margin of MakerBot as business really improve to get better. We do not expect gross margin of MakerBot to come to a level of Stratasys' average gross margin in general but we do expect gross margin to be better as we fulfill more capacity and business is getting better for that to stable today likely should in production looking forward.
Patrick M. Newton - Stifel, Nicolaus & Co., Inc.: Thank you.
Operator: Thank you for your question. The next question comes from Andrea James of Dougherty & Company.
Andrea Susan James - Dougherty & Co. LLC: Hi, good morning. Thank you for taking my question. Does it concern you that you need technology breakthrough to accelerate manufacturing adoption? And I guess just to that point, which verticals do you think you're going to see those breakthroughs first?
David Reis - Chief Executive Officer: Let me repeat what we said earlier. We have today good technology and we are doing good steady progress into manufacturing. I think that the accelerated adoption will depend on advancing technology. And we're saying, I think over the last many quarters that the progress in manufacturing will depend, of course, on the go-to-market and development of applications but also on our ability to build printers which are even more suitable to manufacturing from point of view of material properties and induce past properties as a robustness of the equipment itself, its suitability to manufacturing environment. So this is an ongoing process. We said also in the past that Stratasys is investing a lot of money in energy in developing such project – all those projects are usually long-term projects, but we are very focused on it and this does not mean that in the short-term, the company is not progressing into the manufacturing arena, we are progressing every day, but accelerated penetration will depend among other things also on advancing technology which again we're investing a lot in.
Andrea Susan James - Dougherty & Co. LLC: And then I think it's kind of exciting what you have been doing in aerospace. I am just wondering, do you need to develop or acquire metal printing capabilities to really leverage the aerospace opportunity?
David Reis - Chief Executive Officer: Metal is one of the technologies which is required by aerospace. Today we are addressing it via SDM. I mentioned earlier on the call that from point of view of a service dealer and the ability to provide solutions I think we are one of the strongest in the market today. In respect to Stratasys itself, we said all the time we are saying that we are looking in this space and we might move to it if right opportunity will appear.
Erez Simha - Chief Operating & Financial Officer: And I think, also the Airbus is a good example of the current technology of Stratasys mainly SDM to serve as a good solution for the aerospace arena.
Andrea Susan James - Dougherty & Co. LLC: Is it correct to assume that you have other partnership besides Airbus, that are unannounced?
Erez Simha - Chief Operating & Financial Officer: It's difficult to discuss unannounced transaction but I think that we are working in the aerospace with multiples customer. It's a long-term journey, it's not a short-term journey. So it's a different industry. It has to go from significant qualification processes and once we have something to announce we will announce for sure.
Andrea Susan James - Dougherty & Co. LLC: Thank you.
Operator: Thank you for your question. The next question comes from Holden Lewis of Oppenheimer.
Holden Lewis - Oppenheimer & Co., Inc. (Broker): Thank you and good morning. You've given the long-term sort of guidance parameters; can you give a little bit of sense about what – once you begin to see revenues expand again, what kind of incremental margin can we kind of expect on those revenues, is there something that you have experienced historically, or do you have kind of a framework to work off of given your knowledge of your expenses and that sort of things?
Erez Simha - Chief Operating & Financial Officer: We didn't provide any medium-term outlook. I can tell you just that the cost structure of Stratasys today is built of significant part which is variable cost. And to why those flexibility to adapt our operating expenses by the way scaling up and scaling down in both direction relatively fast and again depends on the time of this event to happen and situation of the company. There are areas of investment which are long-term and it's a long-term journey that we invest and we do not touch and we do not reduce, because we believe they are crucial for the success of the company in the future. And it would be fair to say that when revenue will grow the equivalent revenue related expenses will have to take place like lead generation activity and marketing and I will refer further expenses in the company.
Holden Lewis - Oppenheimer & Co., Inc. (Broker): Okay. And then sort of I was also interested in your comment earlier about the people basically looking to utilize their machine, it strikes me that you know where all of your machines are, you know there's very high capture rate on the materials, as you see the materials grow I mean you keep track of that, does that give you any insights into the utilization of the machines that are in the field just sort of tracking that revenue to sort of machine relationship and where do you think that might be?
David Reis - Chief Executive Officer: I feel we have a lot of this kind of data. We typically don't disclose it. It's varying in a very significant way both by industry and by geography. But your question, yes, we do have a lot of this data, not all of it is in our position just because of the way we are structuring our distribution. But we do know this information like I said earlier we do not see a decreasing utilization and in some areas we even see increase in the utilization of the machine.
Holden Lewis - Oppenheimer & Co., Inc. (Broker): So you're seeing an increase in the utilization of the machine?
David Reis - Chief Executive Officer: In some areas, yes.
Holden Lewis - Oppenheimer & Co., Inc. (Broker): Okay. But are you able to sort of track sort of difference between your machines and sort of the utilization and track how that's proceeding over time and get a sense of where it's utilized and start demand again?
David Reis - Chief Executive Officer: Yes, and again, it's areas that we distribute consumables directly or the relationship with channel provided we have this information. And I think it will be one of the indicators about potential recovery.
Holden Lewis - Oppenheimer & Co., Inc. (Broker): And that's why I'm asking what the status of that information is today?
David Reis - Chief Executive Officer: At this point it's not statistically significant enough for us to give any prediction in respect to it.
Holden Lewis - Oppenheimer & Co., Inc. (Broker): Okay. All right, thanks.
Operator: Thank you for your question. I would now like to turn the call back to David Reis for closing remarks.
David Reis - Chief Executive Officer: Thank you all for joining today's call. We look forward to speak with you again next quarter. Thank you very much and goodbye.